Ruisheng Sheng: Good morning. Welcome to join us at the Ping An's 2021 annual results announcement. I'm Board Secretary, Ruisheng Sheng. I will be moderating today's event. Due to COVID-19, this event will be adopted by way of teleconferences.  The management present today are Peter Ma, Chairman; President and Co-CEO, Mr. Xie Yonglin; Co-CEO, Jessica Tan; Co-CEO and CFO, Jason Yao; and Benjamin Deng, our CIO. We'll start with Mr. Yao, to give you a 2021 full year performance review for Ping An, before the management will take your questions. Mr. Yao, please.
Jason Yao: Thank you, Mr. Sheng. Thank you. Good morning. Welcome to the 2021 results announcement for Ping An 2021. Thank you for your long-standing support and interest in Ping An. In 2021, we are facing with a constant and difficult external environment and many challenges to the operation. And Ping An, based on our provision of diversified integrated financial system with high quality efficiency while driving the upgrade of integrated finance plus health care, we're building the integrated healthcare plus HMO service model, deploying the finance plus health care and other ecosystem to develop robust development. I will present the 2021 financial results.  Please turn to Slide 6. In 2021, the operating profit attributable to parent company grew by 6% year-on-year. Operating ROE is close to 19%, which is at a relatively high level. At the same time, we focus a lot on shareholder return, the dividend per share as grown by 8% year-on-year, which speaks to our confidence to the future prospect of the company. On slide 7. We're looking at the operating profit contribution from a customer point of view. In 2021 retail business has maintained robust up by 6% year-on-year and account for 88% of the operating profits. In others, operating profits grew by 8.9%. Now full year retail customer addition was CNY 32.4 million, 36% of the new customers were converted from the internet users of the group. We have shown efficacy from our integrated financial model, and we have seen growth in retail customer number, contract per customer and products per customer. We're going to talk more about our customer operations. On Slide 8, we are showing you the operating profit contribution from different business lines. In 2021, the OpEx continues to grow and driven by insurance, bank, AMC and technology and other segments. And that has also demonstrated the diversified efficacy from our financial -- integrated financial model. Now on Slide 9. In 2021, the operating ROE of the group is close to 19%. And given the repeated COVID outbreak, economic uncertainty overhang, there has been a short-term suppression of the consumption demand for the long-term protection type of products. But L&H operating ROE still was above 32%. On Slide 10, this is about how the net profit is deriving the operating profit. Operating profit is based on net profit, excluding some of the items with short-term volatilities, which includes like L&H short-term investment variation and the life discount rate change and some of the one-off material nonoperating items. We see this metric, OpEx, with a clear and more objective reflection of the current business performance and trends. Even though net profit, there is some volatility, but the operating profit grew by 6%. On 11, we're looking at the OpEx on Life & Health, even though the short-term challenges in 2021, the L&H business with the positive growth of OpEx of 3.5% and coming from the release of residual margin and also some other positive variation as well. On Slide 12, in 2021, L&H business operating ROEV was 11.1%. We have adopted a rather conservative risk discount ratio at 11% . Contribution by channels in 2021 due to uncertainties in domestic and international environment, there has been a temporary slowdown of long-term protective products, and the L&H NBV was down by 23.6%. You can see the agent channel, it was done, but telemarketing, internet, bancassurance, they have registered positive growth. And also, we are committed and confident in the long-term development of Chinese life insurance market will continue to drive the live reform to drive quality development. On Slide 14, this is about dividend. The company has a tax rate importance to return to shareholders, continue to increase the cash dividend. The full year dividend was CNY 2.38 per share, increased by 8% year-on-year -- 8.2%, and also the fund available to the parent company by the end of the term remain at a healthy level. On Slide 15, the Board has approved a share repurchase scheme of CNY 5 billion to CNY 10 billion in August 2021, demonstrating the future -- confidence in the future. And we have repurchased CNY 3.9 billion, and we will continue to deliver on this repurchase plan according to the market performance. On Slide 16, this is our strong solvency adequacy. In 2021, the group and the major statutory continue to be massively ahead of the rapid requirement in our solvency margin. Recently, the regulator has issued the C-ROSS Phase II rules, which will be implemented in the making of the Q1 record in 2022. Based on a simulated testing in C-ROSS Phase II by the end of 2021, Ping An Life core solvency margin was still above 100%, which is quite as much as the 50% threshold set by the regulator. Now Slide 17. We're looking at the total size of the insurance fund investment portfolio, which will remain robust growth. In terms of asset allocation, we are increasing the allocation of long duration, low response, relentlessly duration -- duration to narrow the gap and also actively define quality of tentative asset investments, particularly rental generating assets with stable cash flow. On Slide 18. The debt plans and debt type of wealth management product is accounting for 11.7% in total assets with average nominal yield of 5.3% with remaining maturity at 3.5 years. On Slide 19, in 2021 due to the fluctuation in the capital markets, interest rate, down term and impairment provision, our insurance fund investment yield was somewhat lower to net investment yield at 4.6%, total investment return at 4.0%. But over long term, in the past 10 years, our average net investment yield and total investment yield was 5.3% and comprehensive investment yield was 5.7%, which is higher than the EV long-term investment return assumption at 5%. On Slide 20. In 2021, due to the impact of the China Fortune Land Development debt crisis, we have made the improvement -- made provision based on the prudent principle and revaluation with -- even though this is a presenter event, individual event, but we have summarized the lessons learned review and optimize our risk management mechanism, tighten our concentration limit and reinforce our post investment management to improve our risk management capability. At Slide 21, sustainability. Ping An continue to be dedicated in building into an ESG national benchmark to play our positive impact to drive the carbon neutrality target, enhance our green finance initiatives. We are communicating with external community about ESG and being recognized. We are receiving BBB rating in MSCI ESG rating, we are in a leading position among domestic insurers. On Slide 22, a brief recap of our honor and accolades. Our brand value continued to improve. We are ranking 16 in global Fortune 500 and #2 in terms of global financial service companies. So that was all for the financial performance. And now we are going to allocate more time for questions from the media.
A - Unidentified Company Representative: Thank you, Mr. Yao. We're now moving on to questions. Due to COVID-19, the press representatives were not able to come to the conference. So we have selected some questions from media. . The first question is on the 21st Century Economic Hurdle,  the question is, how do you comment on the overall business performance in 2021? How is the progress of integrated, finance plus health care strategy upgrade? And also, how do you comment the current share price? The management has repeatedly said the Ping An value was undervalued. So what is the logic?
Unidentified Company Representative: Thank you, the question from 21st Century Economic Hurdle. Let me respond. First of all, related to as we view the 2021 performance. Now I'm going to use 3 keywords: first, stable growth, given stable growth as I present in late -- in 2021, which is a challenging environment, our performance, we're seeing some stable growth. And you can see in 2021, external environment was pretty difficult and volatile with repeated COVID cases, industry as well as your politics deterioration and still deteriorating. And our integrated financial as well as accelerated digitalization reform, they have been helping us to remain on the positive growth side. That and also we can see a 6.1% growth in terms of net profit attributable to the parent company. And also we're helping our customers so that they can really save on time, to be more comfortable and also take on cost savings. So our retail customer is now CNY 227 million in total. And we have 39.3% of customers holding more than 1 -- multiple contracts. And so secondly, the key port as the continuous return. The return is coming from the shareholder return. As you can see, we continue to improve our dividend ratio, dividend payout that has been continually higher, so the cash dividend was CNY 2.38, which is 8.2% higher. And also, we have a new round of share buyback. And also, we returned to the society as well due to the COVID pandemic. We continue to drive the development in green financing and driving the agricultural development, providing property deviation, those fundings receiving CNY 40 billion. And also, we are driving systems specifically reconomy. The third key word is reform and innovation is coming from the few aspects. First of all, on the life, we continue to deepen our reform and transformation on life and also we're driving this in different channels, different teams with 4 major channels. And also into the products, we are launching insurance plus, health management, premium, elder care and home-based elder care. And in terms of -- sorry, a life reform, we're going to give you more detail come -- by my colleague later. And also, we are upgrading the ecosystem for Chinese version of HMO, so they're exploring the HMO plus and with doctor plus O2O so that we can form a close loop from demand to supply to drive synergy. Another reform is about technology, enhancing our patents. Number of patents have increased by using impact digital technology -- and we are really in a leading position in some technological advancements and also have seen a massive contribution from digitalization. Our capability is driving sales, improving efficiency, and that is something we have seen in terms of digital contribution. So that's the reason for our 2021 performance. We believe it's pretty stable, and it also provides us a very good revenue and assume the returns to our shareholders. For sure, we encounter many challenges, but we leverage internal innovation to form the countermeasures to the balances in the market, which also lay a solid foundation for our 2022 performance. Well, regarding the second question, that is talking about integrated finance and health care strategy. Let me just elaborate on this point a little bit. But I think we may have more colleagues to comment on this point later. Talking about the share price, especially for the past 1 year, engage and for our management team, and you know that we still would like to well manage the company and based upon our analysis over the fundamentals of the company, they can see the company do value and as far as we believe will further polish performance and we'll be able to grow the value. Well, for sure, and there are some absolute factors impacting our stock price. And especially for the past few months, the external environment is so of uncertainty and changes. And even from the blue chip stocks in the market are under great pressure. I think Ping An is not a so-called exception because many of the blue-chip stocks as well as the white chip stocks are also under great pressure for the past few months. And especially for this year, right after the Russia, Ukraine war, and you can see that there are more fluctuations in the market and especially in the capital markets, some of the commodities like the gold has been fluctuating a lot in the stock market. While -- but in -- still in China, the economic environment is pretty robust and the government also issued many policies in order to stabilize the market in the longer run. So that's the reason we believe that the Chinese economic environment is still going to be positive in the near future. We're still confident into it. Well, for Ping An, and we're still very confident over our stock price in the near future. Another point I'd like to mention is that and the stock price is still being pressured because of the so-called circle of the life insurance. There are so many challenges in the life insurance business because of the development model and also because of the circle reason and also the customers' demand being fundamentally changed and the so-called population dependence, agent dependence and -- are being impacted. And that is also 1 of the so-called industrial factors. But internally, we are progressing our life insurance reform progress internally. We believe it really takes time for us to restore the business, and we hope the market can be patient on that. Another point I would like to mention is that regarding the overall development of the company, we feel very confident and we feel very positive over our future growth, especially we are confident over our integrated finance model. And I can say in our operating profit, and we still make 6.1% growth. And surely speaking, life insurance business was impacted last year and its operating profit only grew by 3.5%, while for other businesses, including banking, wealth management and technology, those business lines has witnessed very robust growth regarding the operating profit. And that's also another great advantage of our integrated finance, which can help us to derisk the challenges from a certain vertical, while at the same time, we have a very clear strategy. We have an integrated finance across the health care ecosystem because integrated finance itself tells raised so many potential and healthcare is going to be a market of promise in the near future. Well, we believe that the life insurance reform and its results will be gradually released. It's already the study effort to conduct the reform. We further reform the channel product and improved the team working efficiency, and I believe the life insurance market is also a promising market. There used to be some consultation company who published the so-called industrial forecast report for the life insurance industry for the next 2 to 3 decades, we still see this market is full of opportunity and a very promising one. So all in all, you can see the stock price fluctuations impacted by multiple factors. But as our management team mentioned, we would like to still focus on our management to consolidate our business and our fundamentals. We have a clear strategy. We have a very robust management and a very good management team. So all in all, you can say that we are in the right track of progress in our business. For sure, our stock price is probably at the bottom stage. But I think ultimately, the market will recognize our value. And we are going to actually pass on our confidence to the market as far as we continue to improve the depending ratio and especially we'd like to provide good cash dividend and to pay back to our shareholders. But at the same time, we also did the repurchase of the stock because the share repurchase is also a way of showing our additive of the values being underestimated. We'd like to protect our value, and currently around CNY 3.9 billion repurchasement has already been done. And also some of the senior managers, and they are probably going to increase their holding of the stocks at the right time. So I think we're not here to comment on the stock price too much, we still would like to refine our management capacity. And ultimately, the stock price is probably at the bottom level. And what we need to do is to well manage our market value, give payback to our shareholders with a decent dividend. The second question, please?
Unidentified Company Representative: The second question comes from . His question is that in terms of the insurance business, and the NBV of the life insurance and health insurance, how long it's going to be recovered and be elevated and how can we improve the performance of the insurance agents?
Unidentified Company Representative: Thanks for your question. Let me try to answer the question. I have 3 answers to respond to your questions. First of all, let's be forward-looking, let's have a long-term attitude. Secondly, we should also work on strategy and execution. Why should we mention long-term attitude? Because life insurance is a long-term business within Ping An Group. For life insurance, and last year, its operating profit is CNY 100 billion and it's ROE is already 32%. It is not easy to identify such a good business. So for life insurance, we still would like to maintain the long-term operation attitude. Life insurance, as we mentioned, is still going to be very promising in the near future as been said by many consultation companies. So we believe and the average duration for the life insurance product is 40.2 years. So many people may just worry about the short-term performance, but we need to have the forward-looking attitude to the life insurance business. Regarding strategy for Ping An, we have 4 channels along with 3 products that is quite distinctive, quite special and quite competitive in the market. Talking about the 4 channels besides the agent channel, the agent channel is probably the first channel to launch the high-quality agents channel practice. We have already done the reform for 2 years, and it's already a sturdy effort to continue to reform. We're going to further improve the quality of the agent channel. And we also have another 3 channel targets to grow the life insurance business and their contribution ratio is being elevated from 9% to 15%. Why should only Ping An have the so-called 3 channels? The second channel is the community channel. And you can say that we are not assigning the CNY 30 million policies to our agents. We have the so-called community grade network and we'll be able to locate the agents in different communities. For example, in Shenzhen, we have more than 100 communities. For each community, we have the professionals to serve the local customer, and those are the high-quality agents we have. And we did a pilot project in 3 cities in China, which right now we can actually leverage this strategy to improve the agents' capacity to help them to improve the renewable rate and the renewal rate for the product is being decreased by 50% to 20% after we empower those agents by leveraging the community channel. And the third channel we have is  as the banking channel. Of course, we have the private wealth management team from Ping An Bank will be able to further consolidate our channel business. Actually, only 50% of the insurance has been covered by the banking  channel. And this is also another diversified channel that can help us to take care of the issue or the how to acquire a new customer or how to retain the customer. You can say this can all be well delivered through our banking channel. And the fourth channel and the channel in the exploration stage and also a very unique 1 to Ping An Group only. And for a very long time, in Tier 1 to Tier 2 cities, Ping An Group is always making its leadership, and we are pretty big probably in the Tier 4 or Tier 5 cities, we have 1.1 million outlets channel. And by leveraging that 1.1 million bank outlets channel, we will be able to cover more populations in the lower tier cities. So you can see, altogether, we have 4 channels, and this is a very unique feature for Ping An. Naturally then, we have 4 channels to help us to grow our life insurance business in the near future. And the second driver is also our unique product besides the transitional  products. And we also have the integrated finance product. We have stick to this strategy and the product building for 15 years. It is still on the right track. Around 20% of our agent income coming from the integrated finance, which is also a very good competitiveness for Ping An. And the third party is the health care product medical development. And you can see for this time, we also disclosed, especially for the health care and life insurance, it is a rich demand for many middle-income population here in China, and Ping An is probably the only 1 to have the health care ecosystem to leverage our advantage online and offline to provide the healthcare and elderly care studies. So all in all, for Ping An, we still have a very distinctive model and channel and strategy. Well, from execution stage, we also disclose you with many statistics regarding the reform update regarding our 4 channels and the 3 products in life insurance. So altogether, you can see our agent reform, the first batch has already helped us to improve NBV growth by positive 10%. Well, our other channel revenue contribution increased from 9% to 15%. But at the same time, you can also say that from the execution stage, Ping An always honored our commitment, we're going to continue with this strategy. So from a strategy from execution stage, we hold the long-term attitude to further grow our life insurance business. Okay. Next question, please.
Unidentified Company Representative: The third question comes from . For the life insurance reform, progress and results, are you happy with it? If the Q score is 100 and higher than the Q score of your performance, what are the challenges out of your expectation? And what are those the new heads up for you? And the second question is that what about update for Ping An health care ecosystem? And what about the reconciliation content? And you mentioned about the house plan here in China. And what's the plan? And what would be your execution strategy?
Unidentified Company Representative: Well, regarding the first question, for the life insurance reform, we are happy with the results. It is our expectation still in the right track for further progress. And last year, the reform already cover 30% of the offices, and we're also going to making sure that we continue with the large insurance reform. The second question is regarding your health care ecosystem, especially for the one, we always mentioned that we would like to be a Chinese version of HMO. And there are 2 instrumental factors here. First of all, we would like to integrate the resources, while at the same time, we should also make sure that we have the right customer and the right supplier we need to interpret the resources. For  what kind of growth can it play? First of all, as I mentioned. And we are probably the largest health care insurance company in China, we cover 100 million customers. And we have many financing that can be harvested from the health care insurance. So in this way, we'll be able to provide the one-off solution to the consumer because we do have a wide customer base. While at the same time, we should also consolidate our suppliers, including  as well as the Ping An Good Doctor to integrate the resources. Freely speaking, for example, we're going to leverage Ping An Good Doctor, we have 2,000 specialized doctors working for us for this platform. Where at the same time, we also have some offline operations, especially while working with the Peking University medical school. And this school is probably the best one in China with more than 100-year history by working with such a medical school and it will be easier for Ping An to work with the associated hospitals in different cities. For example, in Beijing, we have an integrated hospital with 1,800 beds, which is -- they're doing service for 6 special departments. And then the third party that -- besides our online resources and offline resources, we're also going to have the 2 stores and the 2 home and online database. We would like to work with more than 100 service providers and altogether, 40,000 doctors to provide service. Regarding the 2 hospitals, we're actually working with more than 3,000 hospitals in China and also our international medical resources team to provide the service where for -- door-to-door service while working with our suppliers of providing multiple door-to-door medical services. You can say that by having online offline and also the 3 to-go services, we'll be able to well connect all the resources in this industry.
Unidentified Company Representative: Well, let me cover the question on Fonda. Right now, the restructuring, reorganization of Fonda Group is ongoing. On January 30, we have received CBRC reply giving the go-ahead to invest in the Fonda Group. There, we can hold up to 66.5% of fixed. Right now, the reorganization is ongoing as planned, and we will review our disclosure obligation in a timely manner. There are several listed companies underneath Fonda , so we will surely give duty, make procedure to disclose any material information.
Unidentified Company Representative: Thank you. Well, the fourth question is based on the exchange requirement. We are collecting question online from the small and medium investors. So we will help the management respond to some of the medium and small investors. The first question is about the stock buyback. The announcement talked about CNY 5 billion to CNY 10 billion. Right now, we have executed CNY 3.9 billion. Is company trying to complete the repurchase and we'll deliver on the product? And thirdly, what management is doing to improve the dividend yield and enhancing the share price?
Unidentified Company Representative: Okay, I will take the questions. When it comes to repurchase and dividend, this is really about shareholder return. So I will summarize in my reply. Now in 2021 end year result, we have seen a stable return because Ping An has always been dedicated in returning to the shareholders when it comes to buybacks and dividends. So dividends is continue a cash return. As you can see, the dividend payout policy has remained stable over the years. Which links to OpEx. OpEx is excluding some of the short-term uncertain volatile items. So OpEx is more stable. So when it's linked to OpEx, so we can expect stable dividend. And also last year, we -- 6.1% and also 8.2% higher, but that speaks to -- 8.2% higher than previous year, speaking to our confidence. During the past 2 years, we have been a growing dividend more than 15% of the dividend payout. So that will be kind of stable so that shareholders can benefit from stable cash dividend payout. So that is a very important part of the market cap management. When it comes to buyback, the stock buyback is not a regular or conventional maneuver. So it is when -- it is happening when the stock price is significantly lower than the embedded value, the management is buying back a share so that the share buyback can actually be benefiting of a long-term value. So in that course, it's not going to be a continuously exercise. In the past few years, we have exercised a few buybacks. At this round, CNY 5 billion to CNY 10 billion was approved in August 2021 by the general assembly. So this is for a duration of a year. Right now, we have implemented CNY 3.9 billion. So before end of the year, we still have some time. The management is going to continue to drive this process based on the market conditions. So the size is CNY 5 billion to CNY 10 billion, so we will deliver on the requirement that has been approved by the Board and to deliver on that commitment and promise.
Unidentified Company Representative: The fifth question comes from Hong Kong Economic Times . The question is, the change in the rule of C-ROSS II will lead to some sort of deterioration of the core solvency margin and comprehensive solvency margin of the subsidiaries of the group. Have you expected a actual impact by Ping An?
Unidentified Company Representative: I will take your question. Well, for Phase II C-ROSS second year by the regulator to implement into a regulatory system. So after C-ROSS II, so there has been the basis of a lot of info seeking. So the new rule will be implemented from January. Indeed, the new solvency rule will have some significant improvement or changes, given the new C-ROSS rule. Based on that measurement, some of the metrics will be affected. So let me briefly go over because this is a complicated system, but I will briefly go over C-ROSS and what is the expected impact and what are some of the changes. First of all, in terms of calculation, right, given the new C-ROSS, there are some grading of assets, particularly for insurance. What used to be what we call the future surplus, our future margin surplus, which can be 100% -- which was 100% in core, but in Phase II, the future surplus will be categorized. So policy C-ROSS surplus will be categorized in the different buckets. There are going to be some limitations. So core assets, core capital, there's going to be some restriction or limitation to how much policy future surplus can account for core capital. This is the first impact. The second impact from the long-term equity investment is going to be applying, subject to a more stringent evaluation. Like some of the blue chip on nonlisted companies, there are going to be more rigorous requirements and how that can be accounted for as core capital. And thirdly, the minimum insurance fund for auto and PMT and also credit insurance, insurance -- credit guarantee insurance, which has increased the minimum capital requirements and also has seen some look-through requirements and concentration requirements is also being revised. So those will be some impact on the solvency margin. And also there are some area when they reduce the capital requirements. For example, some of debt hedging, diversification. Those will actually benefit the capital. So summarizing everything. The biggest impact is the core solvency margin. We used to be at more than 200% at core. Now it's quite substantially reduced. But we are still much higher than the regulatory requirement, which is at 50%. So even though if we are reduced to 100%, we're still twice at higher than the regulatory threshold. So this is not just for Ping An Life. This is applicable to the entire sector, but to different varying degrees. Ping An, where we used to sell a lot of protective products, then we're going to have more policy future surplus eligible to be accounted for core capital. So we have been ready for this to release and disclose based on the new rules. Regulator is giving us a transitional policy. We have a 3-year transition. So some of these risk factors can be phased over 3 years. For example, like T&T and other like kind of insurance can be staged over 3 years. So we expect the impact in the metrics, there will be some decrease of the metrics. But when it comes to business development, it's not going to impact our business quality. Next question, please.
Unidentified Company Representative: The next question is from . The question is, other than China Fortune Land, what other risk exposure the company has in other investments, particularly in real estate how much is the sum of exposure? And also given the macro environment, will company change its strategy related to real estate investment and why? The second question is in terms of the future asset allocation strategy. How do you strike the balance between beta and alpha strategy? Would you increase the contribution from strategy of interested investment alpha strategy?
Benjamin Deng: Okay. I will take your question. I'm Ben Deng, the company's CIO. Thank you for the question. Now what other exposure do we have? Well, in our real estate, exposure is really manageable and controllable. Based on annual results, the core real estate exposure is 5.5. This is within a reasonable range. And the long-term rental generating investment, those real estate is more than half of it. So we consider that the real estate exposure is manageable with considerable reasonable outlook. So we have a pretty good return from those real estate investments. Given the macro environment, will we change our real estate investment strategy. As I mentioned, our allocation is diversified. Our risk is also diversified. So we benefit from the diversification. We will continue to carry on our strategy principle, which is leading the value, crossover the cycle and uphold the risk bottom line. And we will make investment into the real estate product market in line with the policy orientation, particularly in the quality real estate and property projects and commercial property projects we're in line with the national policy direction. For example, some of the affordable ranking, affordable housing projects. Those are really in line within that of the policy direction, and we will be actively looking to opportunities in allocating those assets. So that's what we are looking at. So in terms of future asset allocation strategy, beta versus alpha, please take a note that our allocation investment is very stable and prudent it's kind of a barbell, double barbell. The first barbell, we have a lot of long-duration interest rate bonds. That is narrowing the gap duration in the past 10 years. We have been able to significantly reduce the gap to a bit over 4 years now across the country, across the world, that's really a leading position in terms of duration gap. So that was the first barbell. On one hand, we have long-duration interest rate bonds. That helped us with a stable cash flow and stable and expected return. And the other is the risk asset, including equity type of assets. So in terms of risk asset, we have most barbells, first of all, high yield, stable value assets and the growth type of assets. Because of such balance allocation profile. So our beta on the risk asset is rather low. As you know, this year, because of internal, external factor, the capital markets have been rather volatile, and we've seen a massive flow back. So our balanced allocation strategy has been really doing a lot of benefit for us. And also the CNY 4 trillion, how do we derive our value from CNY 4 trillion because it's a massive portfolio. However, we are going after -- given the prudence value proposition and cross-cycle principles, we continue to go after -- going after some value investment opportunities. For example, in the past for our alpha investment, actually, by having been selected for the investment target projects, we'll be able to generate a much better investment returns with a very good outcome being achieved. In the near future, we're still going to select the right people and the right projects to invest in to generate a decent offer to our performance. You can see that the majority of the investments are coming from the returns of our strategic assets. But later, we should also have various tactics and be handpicked and selective in the professionals and the target projects to make sure we have a good alpha being generated. Let's welcome the seventh question.
Unidentified Company Representative: The seventh question come from Financial Times journalist . His question is that, note that  launched the home-based elderly care system. And do you want to introduce the housing positioned in Ping An? And what are the challenges, especially as we are in face of the aging population, what would be the next to tactic for Ping An?
Unidentified Company Representative: Thank you. And actually home-based elderly care, it's actually something we feel quite excited about. Actually for the aging population around 90% of elderly, they would like to be served at home, but there are so many pain point. They don't want to go to some softer areas to be in the elderly care home. But how can we make sure that we have the home-based elderly care service being provided. It includes 3 parts. First of all, the elderly may feel comfortable and the family relative will feel assured. And hopefully, we should also provide a comprehensive service platform, what should we do? We have provided a so-called 10-dimension support. Altogether, we have 650 door-to-door services being provided. So it's elderlies, when they are stay at home, they will still be able to enjoy the high-quality and cost effective door-to-door service. And how to make sure the elderlies' family relatives are also being assured, they have environmental monitoring system and the system monitoring 1 and that is service monitoring success altogether by having the 3 monitoring systems being available and they will be able to keep an eye on their parent's safety and the health at home. And the third point is that, we also have the managers want to purchase our product and we'll be able to provide the corresponding service and product, where at the same time, we're going to have dedicated doctors and the managers to provide the 24/7 around the clock setting. As you remember last year, in both cities in Shenzhen and Nanjing, we initiated the first pilot projects. Many of our clients are quite impressed. Majority of our clients are around age of 40 to 50 years old, and they ask their patent to try our product, when we were asking the managers to go there for the evaluation. And some of the customers, they feel quite impressed because our doctors can help to identify some critical illness for their parents. So we received a very positive response from the first batch pilot project. And for 8 months, we just conducted our second phase of the pilot project in more than 20 cities. And gradually speaking, we're going to penetrate into more cities because we believe this is quite competitive for us.  And -- but it's not easy to be down for such cities. We have to integrate the thousands of the supplier and with 650 service items being available. So on 1 side, we have a Ping An Good Doctor who has the online doctors being served, and we also have a very strong technological base make sure that we leverage technology to integrate and standardize the behavior from our supplier. So in the near future, for each phase, we're going to rebuild our service system so that we can cover more cities in the near future. Next question, please.
Unidentified Company Representative: Next question comes from China Security  and he was asking for China People's Bank, and they have already announced the first license of the finance companies. You are the pioneer in the integrated financial market and how you're going to make sure you have a good synergy for such business?
Unidentified Company Representative: First of all, for specific finance control and Beijing finance control, and I know there will be margins. Actually, for Ping An Finance, and we are actually a part of the Ping An Group's umbrella. We promote, integrate finance for the past 20 years. And the credit notice in each of our annual reports, we will specifically discuss information performance of integrated finance, especially regarding the retail business side. You can see for integrated finance, it's not only being promoted from the retail end, but on the enterprises end, we also work very hard to promote integrated finance development. Regarding retail business, we focused on 1 optimal -- 1 account, multiple products with one-stop solution. But I can say that as we are promoting the retail business growth, we have 4 indicators or 4 criteria which can help back to further improve our service. For example, the number of contracts per customer, profit per customer and account per customers. For the past 7 years, we disclosed those status information, and you know the data was growing on a yearly basis. On one side it shows we make progress on yearly basis. That means that on the retail side, we still have a huge room to explore and their addressable market to go. But how can we measure that we can further guide into the market for the retail finance. And by having the approval from our customer in the combined approach, we should also make sure we have a more projected yet refined management of our customers to truly understand the insight to the customer, to identify their needs and then to providing the service and the product correspondingly. In other words, and it was not easy to be understood, but let me explain it in this way. If someone who's going out and who probably is going to know that if you'd like to purchase a vehicle or a house or a insurance product that just come to Ping An, if you need health care service, you come to Ping An. Whilst we provide a comprehensive service to the customer, our integrated finance is still going to increase a huge addressable market. While for the enterprises side, you can say that for majority of the enterprises, they have diversified needs. And that is also the reason you can see we need to leverage the advantage of integrated finance. Leverage a commercial bank plus investment bank plus investment to provide a full basket of the policies and the support to these enterprises has been discussed before. Example, our integrated finance, the financing size was going up by 20% on a yearly basis and also in the bank channel, the agency studies, the insurance products also going up by 20% on a yearly basis. You can say that integrated finance is the 1 advantage of Ping An. In Ping An Group strategy, integrated finance is still a very important part of the ecosystem. It still play the dominant role there. Well for us, we're going to further improve our performance on integrated finance to make the customers feel happy and feel satisfied and to make sure that the customer and their need will be catered. While at the same time, our professional development could be further improved. That's all for my response to the question.
Unidentified Company Representative: Okay. Due to the time reason, let's accommodate the final question. The final question come from  and the question goes like this, how Ping An actually improve your support to the rail economic environment? And how can you actually also exercise your strategy for social responsibility and also the revitalization strategy?
Unidentified Company Representative: Let me respond to the question. Well, for Ping An Group, for a very long period of time, we always believe enterprises are there to serve the real economy and it's become a very important part of our business development strategy. Well, for the past 1 year, we altogether served around RMB 5.2 trillion in serving the rail economy. Well, you can say that for majority of the investment, while making sure, for example, Baihetan the hydro plant, and for Baihetan hydro plant, we have CNY 8 billion bank loans and also CNY 220 billion securities from Ping An Securities, and we also have the construction project insurance being purchased from Ping An. Where at the same time, we also have further Ping An  in supporting the infrastructure construction in Guangdong province. And altogether, they are also the major projects in supporting the major infrastructure and the project being conducted in China. While at that same time, we also serve the SMEs for their financing needs. For example, for Ping An Bank last year, they have around CNY 400 billion being used for the SME financing, while Ping An inclusive finance is also there to serve their needs, to take care of their funding needs. And altogether, they have CNY 600 billion to serve their needs. So this is the second part. And the third part is regarding the digital empowerment. We leverage technological tourists in order to further improve our capacity in serving the rail economy. For example, Ping An  it actually divided an integrated information system to serve the local government to make sure the local government can actually have risk forecast and risk alert for the agriculture business. And you probably noticed that the Ping An Bank launched 2 satellites in order to help to provide the agriculture IoT support. In this way, the Ping An Bank will be able to serve SMEs in a more efficient approach, especially providing them more efficient financing support. That's on Ping An support.  The rail economy, well, from another perspective regarding the rural revitalization, last year, actually, we have a consolidated performance on the ruble revitalization. Especially last year, we made around altogether RMB 48.15 billion into the rural vitalization in total . And also, we have the health care business that can provide 69 sessions of the physical checkup service to the rural relevance and especially some of the customers in , they never went through any physical checkup before.  So we leverage our health care service in providing the health care studies for some of the people even in the remote area and  area, but at the same time, Ping An also provide our support in education. Last year, we're working with the Chinese academies aside and working with some professionals that started to help us to cover some 60 million of the knowledge gaining to make sure that children living in the rural area, in the remote area can also enjoy the high-quality educational resources online. So you can see that the practice we have are rural revitalization. Well, you can also notice that last year, we made a lot of efforts in green finance, including the green finance and actually the financing side is already more than CNY 200 billion. And we also have the environmental sustainable policy products being issued. And that was last year, regarding what we're going to do in 2022 we're still going to serve the rail economy and also promote the green finance environment to make sure more bank service, health care service and the insurance service could also be provided to the rural area, and you can see those are actually be done with the great leadership from Chairman Ma. And that's all.
Ruisheng Sheng: Okay. As time is pretty limited, . Well, for today, we also have our Independent Director, Mr.  here for this release. If you have any further questions, please contact our PR team. Thank you very much. Here comes the end of the meeting. Thank you.